Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2022 Third Quarter Results Conference Call. During the presentation, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded and a replay will be available on Barrick's website later today, November 3rd, 2022. I would now like to turn you over to Mark Bristow, Chief Executive Officer. Please go ahead, sir.
Mark Bristow: Thank you very much and good morning, and good afternoon, ladies and gentlemen. And again welcome to our presentation of the Q3 results today. We present -- for those who don’t appreciate, we are presenting from the London Stock Exchange today and it's so nice to see those familiar faces and not so familiar faces. That brings back lots of memories for me being here. And also, times like we are today, not always up but also down. And so I look forward to getting some questions from the floor and thank you very much for coming out in person today. As I've said many times before, the troubles that have been closing in on the global economy, including the mining sector tightened their grip in the last quarter, and Barrick, however -- as I hope I'll be able to demonstrate once again, is well placed to contend with these challenges. Thanks to the disciplined execution of our long-term value creating strategy, we have and still are focused on maintaining a strong balance sheet. Our dividend policy is delivering sustainable returns and we continue to extend our life of mine plans to ensure that our tenure production profile remains intact. Our successful exploration programs are feeding high quality prospects into an already bulging pipeline and while our focus is on organic growth, we are also keeping an eye open for value adding M&A opportunities, albeit that those capable of meeting our strict investment criteria remain few and far between. Please take note of our cautionary statement and for those who wish to study it in more detail, it's available on our website. We had a softer quarter in quarter three, as I'm sure all of you noticed and we guided you to and it was mainly due to a sequencing at Carlin and Cortez. But a great uplift in some hard work in the fourth quarter should keep us on track to achieve our 2022 gold production guidance, albeit at the low end of the range. Our copper portfolio earlier on the other hand performed well and is trending towards the midpoint of our guidance. Exploration, as I said in the introduction, continues to discover new opportunities as well as to expand existing asset base and we expect to grow our reserves for the group again, and that is net of depletion as we did last year. Other highlights include the completion of the public comment stage in the Goldrush project and our continued progress with a massive Pueblo Viejo expansion project with the submission of our environmental and social impact assessment for the new tailings story -- tailings storage facility. I should also point out that Barrick was serious about responsible tailings management long before recent calamities focused the industry's attention on this issue and we've made excellent progress and are on track to comply with the new standards on time. And we've reviewed all our tailings facilities, both from the closed sites as well as our operating mines. I'll cover the financial results a little later. I gave a -- I've just given you a picture of our operating performance and how you can see the details. It's worth noting that higher energy related input prices are having an impact on our cost structure. And so costs for the year are trending above the guidance range and inflationary pressures remain a challenge, which are active -- we are actively managing. And I'll just point out that a lot of people just roll up inflation, but there is inflation and we're managing that and that's easily managed in many cases. But we have the added impact of the geopolitical crisis and conflicts in Eastern Europe and other parts of the world, which are seriously impacting on the fuel costs and as a result, a number of our operations -- electricity costs. Our drive to reduce greenhouse gas emissions by at least 30% by 2030 is also going to go a long way to mitigate the current impact of fuel prices. We have already seen the benefits of these investments and expect further reductions over the next 12 to 24 months. This is a solid set of numbers with a strong operating cash flow of $758 million plus the proceeds from ongoing sales of non-core royalty assets. Our robust balance sheet supports a $0.15 per share dividend made up of a $0.10 base dividend and a $0.05 performance enhancement. And in addition to this, our $1 billion share buyback program has repurchased $322 million worth of shares to-date, that's equivalent to 1% of Barrick's issued and outstanding shares at the time of the program was announced. And when you add those together to year-to-date, we've returned just over $1.2 billion to shareholders. And we are on track when you look at our forecast for the rest of the year that we'll exceed our record $1.4 billion return to shareholders of last year. So, there's an extra component in returns with our commitment to continue to buy back shares when we feel that they are materially below their real value. And as you can imagine, after today, we're going to be buying back more, significantly more. Sustainability, as always remains the cornerstone of Barrick's business. And again, I'd point out we practiced responsible mining long before ESG became the thing. We've adapted and adopted integrated holistic approach to sustainability because it's -- in its current form ESG is skewed towards environmental concerns at the expense of social and governance. Social and the upliftment and developing societies and countries that have been left behind by the developed world is a big -- is as big a global problem, we would argue as climate change and it should, in fact, be linked to it. Poverty is particularly a big issue in Africa, which host two of our Tier 1 mines and many of our prospects. Africa holds 17% of the world's population, but due to its developmental neglect accounts for only 3% to 4% of global carbon emissions. Unless the plan is to keep Africa poor forever, population growth and the fast pace of urbanization will cause this rate to rise and even dramatically rise. We have invested heavily in clean energy at our African operations and the Kibali gold mine in the Democratic Republic of Congo, is now largely powered by three hydropower stations, which we built there. And a refurbished forestation that provides energy to the community. We are also sponsoring major biodiversity initiatives designed to mitigate the climate change and nature loss risks posed by deforestation and the degradation of habitats. This risk is very real. And just on that, our current costs -- blended costs for the last 12 months it Kibali is just under $0.05 a kilowatt-hour. So, it's very much a mitigating investment and our drive to 30% reduction by 2030, we will -- that will continue in real terms mitigating the increased costs of hydrocarbon fuel and every one of our projects -- investment projects for cleaner energy meets our 15% return hurdle rate. So, it's a real investment. It's not just something to comply with regulators. Last quarter Barrick advanced its investment in it's a REDD+ program surrounding our Lumwana mine and Zambia and for those who don't know, REDD+ is a UN-backed framework, which covers the role of conservation, the sustainable management of forests and the enhancement of forest carbon stocks in developing countries through socioeconomic and biodiversity-linked projects. In keeping with our holistic approach to sustainability, Barrick in quarter three alone also invested $8.7 million in community development. So, these collective sustainability approaches implemented by Barrick, clean energy, community development, and nature-based solutions through the REDD+ programs will aim to address a just transition throughout the developing world. And we recently starting to -- started to engage with the Dominican Republic government on another similar REDD+ program as far as carbon credits go, and again, if those -- for those who don't appreciate it, if you want to invest in carbon credit, you have to do it in partnership with countries -- with governments. Health and safety for our employees and the welfare of the communities around our mines are part of our sustainability strategy and we continue to reduce the total recordable injury frequency rate and the lost time injury frequency rate our mines. But I'm saddened to share with you that our journey to zero harm was marred by a contractor fatality at Pueblo Viejo last quarter. Certainly any one of these events, there are lots of lessons to be learned and again, we make it our job to ensure that those lessons are shared with all our operations across the globe. With the threat of COVID-19 still lingering, we are continuing to encourage our workforce to be vaccinated and we proud to share with you 80% of our workforce across the world have been at least partially vaccinated to-date. I started the operational review -- I start the operational review as usual in North America and at Nevada Gold Mines, Barrick's value foundation. As far as the original objectives of the joint venture are concerned, I can safely say mission accomplished. We have created a hole that is truly greater than the sum of its parts. From this sound base, Nevada Gold Mines cannot exploit the wealth of opportunities in its Ambit. And we have recruited a future facing management team, including a new North American Regional Chief Operating Officer and a new Nevada Gold Mines Executive Managing Director to lead the company into its new growth phase. But back to last quarter when Nevada Gold Mines had to deal with some operational issues. At Carlin, production was impacted by a temporary fall of ground while Cortez was in the process of transitioning from open pit mining at pipeline to a new phase at the Crossroads pit. For the fourth quarter, Carlin expects higher open pit grades from Gold Struck, while Cortez is anticipating the Crossroads will also deliver a grade improvement. At Turquoise Ridge, the underground operations continued to make good progress, although production was down due to lower underground grades mined and lower autoclave recovery. The mine began commissioning its third shaft and on the back of a change in management, we are starting to get through some of the maintenance and availability challenges that have impacted the sage processing facility for some time. And this slide shows the substantial exploration and expansion targets and their potential to continue to grow the Nevada Gold Mines reserve and resource base. NGM's greatly enhanced geological capacity has delivered an optimal balance between the search for long-term standalone deposits, while extending and converting answers around existing targets. At the same time, Barrick is also looking for new opportunities elsewhere in Nevada, and North America as a whole. So, let's take greater North Leeville, as just one example of how Nevada Gold Mines is increasing its growth footprint. Continuing exploration and producing some of the best intercepts in the history of the Carlin complex and for those geologists in this room, Carlin has produced some significant grade intercepts with lots more to come in. And this target clearly has a multi-million-ounce potential. And we're going to be sharing a lot of these projects with you at the Investor Day in two weeks' time. So, this is just a teaser of what's to come in two weeks' time. We then move on to further south to Latin America and the region where we had to take on many post-merger challenges. We've made enormous progress in minimizing inherited liabilities and maximizing assets with the Pueblo Viejo expansion project in the Dominican Republic as a shining example of the latter. This region also includes our Asia-Pacific holdings, where the revival of Porgera and Papua New Guinea and the development of the Reko Diq project in Pakistan all go well for the future. And despite dealing with the expansion project, which is designed to extend its life beyond 2040, with an annual production rate of in excess of 800,000 ounces, Pueblo Viejo posted a stellar set of operating results, increasing production 15% quarter-on-quarter, construction of the processing plant as part of the expansion is now 70% complete and the environmental and social impact assessment as I indicated in my introduction for the new tailings storage facility has been completed in line with the government's Terms of Reference and has been submitted for approval. And this our expectation is that this is going to convert a significant amount of resources already in the measured and indicated Category 2 reserves for this mine. And essentially as we indicated when we started out, it's like a new mine, it adds way past 2040 to the life of the mine. In order to size the TSF properly, which we're currently busy with, we're busy with that prefeasibility study. We have been evaluating opportunities within -- and nearby the Pueblo Viejo lease with some success. Now, you can see several new targets that the team has developed and which we are received -- receiving follow-up work with encouraging results. We cross now to Argentina, which continues to be a tough operating environment while the government struggles with currency crises and hyperinflation. Fortunately, the San Juan Province which hosts Veladero has been very supportive and the mine now is in much better shape than when we found it. This is our first winter have operating on the new leach pad Phase 6 facility. It is separate from the one -- the old 1 to 5 facilities and we are still getting our heads around the geomet and leach dynamics, which we believe have also been exacerbated by the abnormally long winter and freezing of part of the pads. In the meantime, construction of the Phase 7A leach pad continues to advance and work on 7B will start this quarter. And we hope to also see Veladero's long awaited connection to the Chile power grid in the near-term. Our restructured exploration teams has been progressing targets located across the continent and the region. And then a quick update on Porgera. The new joint venture company has now been incorporated in the September in fact -- and while there are still some conditions precedents to be fulfilled, the path towards a restart is now clearer than when we last spoke at the last quarterly presentation. In Pakistan, the definitive agreements for the Reko Diq joint venture have been finalized and the process has moved to its penultimate stage, legalization and closing. The feasibility study update is targeted for 2024 and production for late 2027 into 2028. While always refer to Nevada as Barrick's value foundation, our Africa and Middle East region is our most consistent producer of excellence performance on all fronts, as well as a rich store of gold and copper growth opportunities. Barrick's status as Africa's biggest gold mine is underlined by the Loulo-Gounkoto complex, which routinely accounts for around 7% of MALI's GDP. It's been going strong for 18 years and its continued success in replacing depleted reserves gives us a lease on life of at least another 10 years at sustained levels of production. We've made -- we've been making a substantial investment in clean energy there and the expansion of the solar power plant by an additional 40 megawatts and 36 megawatt battery storage system is advising steadily. This will replace another 23 million liters of heavy fuel when it's fully commissioned in 2024. When it comes to exploration success, the Loulo district remains one of our happy hunting grounds with a lot of discovery potential as shown here. The Yalea deposit which is hosted within its 72-kilometer-long mineralized district still holds strong potential to add further ounces. And the open extensions we are exploring are key to our continuing and highly successful depletion replacement strategy. Kibali, Africa's largest gold mine, produced another steady performance with improved costs across all matrix. Hydropower provides as I said earlier, most of the mine's energy requirements, offsetting the impact of higher diesel prices. As I pointed out, its average energy spend of just on $0.045 per kilowatt hour makes it one of the industry's lowest cost producers. Like Loulo-Gounkoto, Kibali is on track to meet its 2022 production guidance despite the 21-day planned shutdown of the shaft to replace the winder. And in fact, that's been -- that's about to come up -- I believe we started hoisting last night, so we're busy commissioning the new winder as we speak. So, I think that's the day -- Simon Day earlier or two days earlier than what was planned. So, a good job from the team. Also like Loulo, the Barrick's, other Tier 1 asset in Africa, Kibali has many opportunities for reserve growth with the complex hosting many multiple targets. Our Tanzanian operations are again a great example of partnership and action. When we took over North Mara and Bulyanhulu, they were not only badly run, but effectively closed. And we've set all their legacy issues in the joint venture deal with the government and transform them into new mines capable of a combined annual production in excess of 500,000 ounces at North Mara, while it continues to ramp up its open pit operations. And Bulyanhulu's underground mine also continues to ramp up production and we have a new fleet in in the mind now which is unable to step up of the development, while we look to further mitigate this -- the constraints imposed by the mines narrow ore bodies. We turn to our copper operations with Lumwana and Jabal Sayid, both delivering stellar results with exciting growth prospects, while Zaldívar produces a consistent performance. Since 2019, we have extended Lumwana's life to 2042 and now have a real opportunity to increase its life of mine beyond 2060. Our success in drilling out the Lubwe target has provided the potential for a big pushback needed for the development of a super pit and we've started work on a pre-feasibility study, which is scheduled for completion next year. As you all know, Barrick's core belief is that the best assets managed by the best people will produce the best returns. I'd probably add the most consistent and best returns. Our sustainable dividend framework provides investors with an opportunity for enhanced performance based rewards as well as financial flexibility and more importantly in a cyclical business, predictability. For the third quarter, as I noted earlier, the $0.15 per share dividend comprises a base and a performance component on an annual -- and on an annualized basis equates to a peer-leading dividend yield. And when you combine this dividend with a share buyback, it points to a total shareholder return of year-to-date, as I said, at $1.2 billion, which sets it on track to beat the record $1.4 billion return of last year. Ladies and gentlemen, in conclusion, we are successfully executing on our strategy of building the world's most valued gold and copper mining company, as evidenced by these actions. With the industry's largest portfolio of Tier 1 gold assets and many growth opportunities that are within our grasp, we are confident in our continued ability to deliver on this strategy, clearly a compelling thesis for creating value. So, I thank you for your attention and we'll -- the team is here and we'll be happy to take any questions you might have. And I would suggest that we start by [Technical Difficulty]
Unidentified Analyst: Yes. I wanted to ask you one more question and thank you for your comments about the outlook for 2023, that would have been my natural follow-up. So, I also just wanted to ask about your comments around Argentina and your latest thoughts and whether or not you see any potential for improvement from there based on what you're seeing at both the state and federal level? Thank you.
Mark Bristow: Yes, Argentina is a very frustrating currency -- country on every aspect. It's got so much going for it and it just -- the politics is just crazy. And I'll just give you an example. If you look at our truck drivers, which are part of a union, and the regulations behind adjustments -- salary adjustments. And the Argentinians are managing this crisis, like the South Africans used to manage sanctions, they've introduced an artificial exchange rate. So, we've increased the last 12 months our driver salaries by 50% in U.S. dollars. But the drivers are still earning the same in pesos. So, that's how an unnatural and non-market exchange rate when it's forced onto you, and that's the problem and Argentina, as you're getting -- a forced inflation or increase its price increases, not really inflation, through regulations. And again, and the government is obsessed about protecting dollars, but we make the dollars and that's what we say to the central bank, Governor, we make the dollars, you should be working with us to get more dollars, so you can settle your problems. And they've just introduced a regulation where when we make purchases, we have to -- we can only pay for the purchases 18 months after they arrive in country. So, it's fine for Barrick because we've got a balance sheet between U.S. and Shandong. We can finance that but for smaller mining companies, it's very tough. And it's the same when we looking for to keep money offshore, we got to pay dividends and we want to get some returns back. And they will give us a 20% retention of the dollars offshore. But we are expected to pre-finance the gold sales. So, we do that because Barrick's got a big trading arm and it's -- and we make money out of that trade. But again, if you don't have that capacity, it's hard to do business. So, -- and we talk all the time to the central government and they're very accommodating in the conversation. But they just can't get themselves to understand what needs to be done to unlock the hard currency component of their economy. And they've got plenty to deliver dollars, it's a great tourist attraction. It's got fantastic agriculture, some of the best ones in the world, and it's got mining. So, it should be able to work it out. And for some reason, the folk in Buenos Aires are struggling to get catch up with that, Economics 101. Does that answer your question?
Unidentified Analyst: Yes, that's perfect. And if I could actually sneak in one more question, maybe just your comments on M&A activity in fact, there you mentioned that you continue to be on the sharp outlook for opportunities, but they're just not meeting your investment filters. Can maybe just refresh what those investment filters are? And how important you consider M&A to Barrick's sort of strategy going forward?
Mark Bristow: So, let me rephrase that because I don't see we want to get the message across. There's a scarcity of high quality assets and we coined the phrase Tier 1 which has been adulterated by most folk as far as the definition goes. And Tier 1 asset in gold means 0.5 million ounces for at least 10 years at the lower half of the cost curve. And a Tier 1 asset for a copper project is more than 5 million tons of contained copper, or a 30-year life and also at the lower half of the cost curve. That's simple and then you do that you make money, I can assure you make money. And we use -- we calculate those returns at our long-term strategical price. So, that's what -- and there's not many out there. And we've actually -- there's probably in gold, probably 12 -- 11, or 12, we've got six of those. So, there's not 22. And so that's the challenge. And we've -- you've seen us play in the market on all the sales at the back end of last year, the beginning of this year and walk away from every asset because it doesn't fit our criteria. And a lot of those transactions were done at assumed prices above what the spot price is today and you've got the increase in costs. So, it's not a healthy situation and some folk in Canada seem to think that the only way to grow is through M&A. And I can tell you, that's not the way you grow value for shareholders.
Operator: The next question comes from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everyone or good afternoon. Thank you so much for taking my question. I've got three. I'll try to make them quick. The first one is just on Nevada Gold Mines. Mark, when we were there at the on the mine tour in September, we talked about Nevada Gold Mines Q4 being about 1 million ounces of production coming for the quarter for Q4. Now that we're 1 month into the quarter, how does that outlook feel to you? Is it still doable with grade and throughput?
Mark Bristow: So I'm not sure where you got the 1 million ounces. Not sure, Tanya, where you've got those 1 million ounces from but close, not 1 million, around 950,000 ounces, and we're on track for that. This is Nevada Gold Mines itself, not North America. North America gets close to that.
Tanya Jakusconek: Yeah, Nevada Gold Mines. Okay. Thank you for that. And you talked a little bit about growing your reserves at year end 2022. So first off, I just wanted to confirm that you're thinking about that $1,300 gold price up from 12 in -- and then when you talk about growing your reserves, just want to go around the world and think about the assets that are going to grow when we were at Nevada Gold Mines. I think we talked about reserves not being replaced this year at Nevada Gold Mines, but maybe we can go around the world and see where also we're replacing and is this separate from you getting the permit in H1 of next year for Pueblo Viejo and having that huge chunk of resources move to reserves. So I just want to understand where it's coming from and is it separate from Pueblo Viejo's reserve increase should we get the permit?
Mark Bristow: So you're right. Let me start with Nevada. You're right on that. It's about 50% will replace in reserves, but we're growing the resources. And Nevada given its size, it's a cyclical thing. So it takes a while to build up the resources and then you -- and we showed you those resource growth projects, which will ultimately transition back to reserves. And the reason for that -- for those who don't follow this closely like Tanya is we've got -- we drill them out first from surface, then we've got to develop to the resources and drill it out from underground. So this cycle is much longer than, for instance, our African assets, where in Africa, we should replace and add about 1 million ounces, Simon, about 1 million ounces, net increase in reserves, 3.5 or so -- no, it's -- the current production rate on a 100% basis and then about 1 million ounces of additional reserves. You okay? No, I'm not, because he's going to have it on a slide with the detail. And then on Dominican Republic, we've always pointed to 9 million ounces of potential conversion on a 100% basis. And that more than makes and again, we're still working on the final pit. As I said, we're sizing that tailings facility, and that more than makes up for the rest. So there's some smaller additions in Veladero, but it covers the 50 -- our share of 50% that isn't converted in Nevada and it covers all of LatAm, Asia Pacific. So that's really the broadly and we'll give you more detail as Graham says at the Investor Day. And then I would add the $1,300, Again, just to put things in perspective, it's not about $1,300. It's about the input cost model we use to set long-term gold prices. And so more or less, the inflation -- our view of the long-term impact on input costs at this stage is around $100 an ounce. And so that's where we are indicating we might land with the new reserve long-term gold price. And on the copper side, it will be above 2.75, and we're busy working on that as well. And we use an input cost model to manage our long-term revenues rather than take a guess at the gold price.
Tanya Jakusconek: Okay. So just from my own understanding, so when you do talk about the increase in your reserves at year-end does include the Pueblo Viejo conversion from resources to reserves?
Mark Bristow: Exactly. That's always been the case. Yeah. Tanya, to point out that remember, when we did the deal, DR was a real issue because it hadn't repaid its capital, its original capital. It paid out over $3 billion to the government and it had more reserves locked up than it had to -- it could produce. I mean, it would -- we would have stopped some of the mining already this year. So, that commitment and partnership we've built with both the communities around our mine to be able to establish and sign off publicly on new facility and the government is significant, and it effectively delivers a new plus 800 million ounces a year mine for Barrick.
Tanya Jakusconek: No, no, no, understood. And just my last question, if I could, I wanted just to ask about the inflationary pressures you're seeing. You mentioned electricity. Definitely, in that part -- your part of the world where you're operating, your power costs are high. Are you seeing any relief or maybe not as the momentum has declined, I guess, in the growth of inflationary pressures on labor and/or consumables?
Mark Bristow: So, I think we start, there's inflation and then there's input cost increases related to the geopolitical situation, which has got nothing to do with inflation, particularly coming out of Eastern Europe. And that's more the cost of energy situation. But there's others, explosives, et cetera. So you fix the crisis in Ukraine, you take all of that away. But then there's inflation, which is a long-coming issue, and it's a product of excessive quantitative easing. And we have a world today that's the global debtors multiples of global GDP. Just let me remind you, it started…. [Technical Difficulty] So there's nothing that keeps me awake at night in Barrick. You want to add to that?
Graham Shuttleworth: Yes. Is this on? Yes. So Jackie, just to sort of take that and simplify it the formula that we put together was very purposefully done to deliver an additional dividend at times when our performance measured by our available cash resources was strong. But to give people absolute clarity on how that would be calculated so that they have the visibility of that, while still maintaining a dividend through the cycle. As Mark has pointed out, this is a cyclical industry, and therefore, perpetually increasing dividends is just is not a reality. So having a formula that is clear and that is linked to that cycle and -- but which is underpinned by a base dividend, we think is a responsible way of moving forward, and it was deliberately put in place so that when the market corrected, which it has, investors would have a complete understanding of how that dividend would be determined. So an answer to your question, no, we have no intention of changing that formula.
Mark Bristow: And I think the added thing -- I mean this is really, I find it difficult to follow. We have a mark an industry it was at $1,800 and above dollars. People declare dividend policies of ratios, share of cash flows, et cetera. which we refrain from doing or linked to the gold price. The gold price is down $300. The cost side of that equation is up $100 plus. And people are still keeping the dividends the same in a resource industry. That's your -- where your revenue is, you've lost 40% -- not quite, 30% of your revenue and you're keeping your dividend the same, doesn't make sense, and you're paying out more than your cash flow. So that's crazy. And that's what the industry -- some of the fund managers are looking for. I'm absolutely sure that the investors behind those funds don't want to see that. They are investing in our business because we're a resource business, and they want full exposure of -- to the metals that we mine. So -- and we plan to be absolutely reliable in the way we run our business as we have done for the last 30 years, and it's going to be the same.
Unidentified Analyst : That's very clear. Thanks. Thanks for that answer. That's really helpful. If I could ask as a follow-up, you've mentioned growth opportunities. And I know Reko Diq has been a big one for you. I saw the comments in the MD&A. And I know you're still waiting for some, I guess, events to happen on the bureaucratic side in Pakistan before you can move forward with Reko Diq. But is there any way you can give us sort of a timeframe for when you see that sort of coming together, and when you might be able to close that agreement and start -- restart the feasibility study and the work that you're planning to do there?
Mark Bristow : We've set ourselves the end of the year for the closure. It's at the behest of one, the Supreme Court because this is something we believe in, we believe in managing risk responsibly, and we've passed it on through the President of the country to the Supreme Court for reference. Once that's done, it will go back to parliament to get certain legislation pass and it's an omnibus legislation focused on the whole industries, which we've negotiated. And once we've got that, we'll sign the documents. All of the documents are settled. All the agreements are settled, they're just waiting for that process. We have -- in the meantime; we are doing some work. We've completed the baseline study, the environmental baseline study. We need to get that in place because we need a couple of seasons to be able to refresh the 2011 environmental permitting, because it's timed out. And -- but so we need some and we did that -- we're improving the infrastructure with the airstrip at site. And we've started to invest in education initiatives, potable water, and we've certainly done all the remodeling we can do in designing of the limited amount of drilling that we play into geotech. And so we've done all that design. We've engaged with the tendering for the drilling work that we plan to do both water and the confirmation drilling of the main resources, and we're going to do some seismic work. So we also are busy with that final design on the seismic work focused on understanding the aquifers. We've, of course, as you would imagine, well down the road on infrastructure and logistics, planning and confirmation and designing the way we're going to manage access and in and out of the project. We're also building a project team, which will be located out of Dubai initially and ultimately migrate to the country. But in the design side of things, it's the most central place. It's a short flight, and there are four flights a week into Keta, which is right next to the mine. And -- but we can get all the engineers and experts into Dubai one flight from anywhere in the world. So that's what -- that's the sort of preliminary work that we're doing ahead of any final closure of the agreements.
Unidentified Analyst : Thanks. So it sounds like next year is going to be super busy there.
Mark Bristow : Next year is going to be super busy in Barrick as it always is. This year was very busy as well.
Unidentified Analyst : Okay. I believe you. Thanks very much, Mark.
Operator: The next question comes from Cleve Rueckert with UBS. Please go ahead.
Cleve Rueckert : Hey, everybody. Hey, Mark. Hi, Graham. Thanks for taking our questions here. Just a few quick ones, hopefully from us. In terms of the sequential increase in production, Mark, sorry, if I missed it, but did you give us a sense of how much you expect the grades to increase? Is that that production increase pretty much all grade? And then I guess with that, we're just trying to figure out how much we could expect costs per ounce basis to come down with that increase in production?
Mark Bristow : Yes. I think it is slightly grade improving, and its also oxide. So, a bit of an increase in recovery, because we use the mill 5 particularly at Crossroads. And there will be a drop in cost -- unit cost, that's per ounce cost on the back of an increasing production level. And I think that's a good enough bit of guidance at this time. I've got compliance standing in front of me sort of giving me faces.
Cleve Rueckert : All right. But it's great improvement not moving more tonnes.
Mark Bristow : Look, in Nevada, there's always some tonne variation, but it's usually when we're mining through leachable material, and we put it on the leach pad. So and that's very important for us, because it adds ounces without consuming capacity. But as far as the roasters go the autoclaves, we're process constrained. So the way to change it is grade and all oxide ore through the oxide malls.
Cleve Rueckert : Okay. All right. That's clear. And then I got to ask just a follow-up question on capital allocation. Look, the message about this industry being cyclical has not gone unnoticed. So I appreciate approach to it. But you did say earlier in the call that with the stock where it is, you're going to increase buybacks. And I mean that obviously has an effect on the cash balance. And I'm just curious how you're thinking about it, if you've got any feedback from your larger shareholders, whether there's a preference for buybacks today or kind of allow the cash balance to build and let the dividend do what it does on the back of that?
Mark Bristow : So we manage that all the time, and it's not about capital allocation, it's about returns to our shareholders and the ability to invest in our growth projects. And so when you look at our allocation, really, it's -- first, we -- it's absolutely the right thing to do when you get a share price sitting where it is today to buy it. It's the best use of funds, because it's clearly, no one believes in it, and we do. And so we've continued to buy on a proper considered program every, so we don't just go and buy our whole pile. We manage the purchase -- the repurchase plan. Of course, we have committed to a base dividend. So we manage that in our cash flow, but the performance dividend is linked to cash on the balance sheet, and that is -- and it's designed that way, as Graham pointed out earlier, because when we invest in a project, we'll drive that cost, that cash position down for a period. And so we'll -- and we know that we can -- our hurdle rates are so high that we beat most fund managers growth performance in investing in our own projects. And that's what we have for. Otherwise, if our investors or the fund managers who are custodian of our investors' money feel they can do better than they should sell the stock and invest that money elsewhere, but that's our business. That's our model, and that's why people buy our share. And if that -- I'm sure that makes sense to you.
Cleve Rueckert : That's clear. Thanks Mark. Appreciate it. See you in a couple weeks.
Operator: At this time, there are no more questions from the conference call.
Mark Bristow : Okay. Thank you, everyone back there. We are in this call now. Everybody got questions.
Graham Shuttleworth: Nothing, -- you want to drink?
Mark Bristow : You just want to drink. You're not going to outbid the Canadians on questions. Are you? All right. Well, thank you, everyone, again, for coming. We're going to be outside. And so if you have questions that you too shy to ask in public, we're 100% available to answer them. The whole team has to got the explorers, the tax guys and the people involved in Pakistan, and of course, the beanies, the chief beanie as well. So we'll see you outside. Thanks again. Thank you, everyone, who have phoned and appreciate your time. And we look forward to talking to you at our Investor Day. And we are on a road show, so we'll see some of you as we go around the world to get into New York in two weeks' time. So cheers.